Operator: Welcome to the NICE-Systems conference call discussing First Quarter 2013 results, and thank you all for holding. All participants are present in a listen-only mode. Following management's formal presentation instructions will be given for question-and-answer session. As a reminder, this conference is being recorded, May 8, 2013. I would now like to turn this call over to Mr. Marty Cohen, VP, Investor Relations at NICE. Please go ahead.
Marty Cohen: Thank you, operator. With me on the call today are Zeevi Bregman, President and Chief Executive Officer; Dafna Gruber, Chief Financial Officer; and Eran Liron, Executive Vice President, Corporate Development. Before we start, I'd like to point out that some of the statements made on this call will constitute forward-looking statements in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Please be advised that company's actual results could differ materially from those forward-looking statements. Additional information regarding the factors that could cause actual results or performance of the company to differ materially is contained in the section entitled Risks Factors in item 3 of company's 2011 Annual Report on Form 20-F as filed with the Securities and Exchange Commission on March 25th, 2013. During today's call, we will present a more detailed discussion of first quarter 2013 results and the company's guidance for the second quarter and full year. Following our comments, there will be an opportunity for questions. Let me remind you that unless otherwise noted on this call, we will be commenting on our adjusted results of operations, which differ in certain respects from Generally Accepted Accounting Principles as reflected mainly in accounting for acquisition-related revenues and expenses, amortization of intangible assets, and accounting for stock-based compensation. The differences between non-GAAP adjusted results and the equivalent GAAP figures are detailed in today's press release. I'll now turn the call over to Zeevi.
Zeevi Bregman: Thank you, Marty, and welcome everyone to our first quarter 2013 earnings call. We are pleased with our results for the first quarter. Non-GAAP total revenues were $225 million, up 4.5% compared to the first quarter of 2012. Non-GAAP EPS for Q1 were $0.61, representing an increase of 7% compared to the first quarter of last year. I just returned from our Annual Customer Conference, which was our largest ever with 2000 participants. I spoke to many of our customers throughout the event, and there are some observations worth noting. First, our strategy of providing our customers with real value added solutions to help them improve business results is gathering momentum within our customer base. More and more customers continue to implement an increasing number of solutions from our broad portfolio of applications. Around 70 customers presented at the conference on how the NICE solutions are supporting their business needs. Secondly, improving customer experience has become a top focus for our customers. In many cases, these initiatives are driven by the CEO, who sets clear and measurable objective for the organization. Many of the conference sessions presented by our customers centered on the use of our solutions to improve customer experience. Thirdly, in conjunction with the growing number of application implementation, we're noticing that the wider array of managers and operational area of outside the contact centre, using our analytic solutions to help them solve value of business issues and operation allows the insights gathered from our solution. And finally, compliance remains an area of fine interest as evidenced by the croweded compliance related sessions. Other clouded sessions, whether on cloud and hosting mobile, social, and cyber, all areas in which we continue to invest. We continue to significantly expand our product portfolio as part about strategy to continue to offer our customers the best solutions to address their business needs. Our focus for this conference was to present our next generation set of solutions around Big Data, where we focus on analyzing massive amount of structured and unstructured data such as human speech, video feeds, and data string. The legal solutions have captured and analyzed the full cycle of an event. Before viewing and after, the legal solutions have filled business needs and generally proven align and help our customer better understand the individual preference and behaviors with our newly introduced solution that mix the entire journey across channel. Some of the next generation solutions represented at our customer conference where our proactive compliance suite for consumer protection, which enable organization to effectively manage compliance across the enterprise, prepare for CFPB audits, and meet continuously changing regulatory environment. The industry's first full cloud-based Workforce Optimization suite, Situator Express, a situation management solution that's enabled organization to monitor, manage, and coordinate data for four principal security systems, video, access control, intrusion, and fire detection at a low total cost of ownership, and our recently announced customer engagements analytics platform on which I'll elaborate later. In our Customer Interaction business, we recoded year-over-year double-digit growth in bookings, which we expect to support continued future revenue growth. We also add a year-over-year increase in advance application and in deal size, reflecting more strategic but also more complex deals. We continue to witness longer bookings for revenue cycle as we indicated in the past, due to the evolution of our business model towards more advanced application, search and hosting. We have often talked about providing our customers ability to improve customer experience and business results by better understanding the customer behavior and preferences with our cross-channel analytic solution. We have greatly extended these capabilities with our recently announced customer engagement analytics platform, which is a technical leap forward in the analytic space. The new platform takes full advantage of Big Data by leveraging the (inaudible) and predictive capabilities. With this Big Data infrastructure, we're first to effectively combine interaction and transactional analytics across multiple channel which enable our customer to better understand the entire customer journey. With NICE solutions on top of the new platform, our customers are able to operationalize break time in post even insight and these can serve as a catalyst for change in the action within an organization. The sales application we launched on the customer engagement analytics platform is call volume reduction. With this application, for example, the company may discover that the large number of customers are calling the contact center to pay their invoice after visiting the company's website that allows online payment. The company can understand from these that there is an issue with usability of online invoice payments, resolve it, and facilitate a self service invoice payment. The result is significant reduction in call volumes into the contact center and an improved customer experience. Call volume reduction is only the first of many more applications we plan to launch on the new platform. Among other solutions we recently introduced, we're seeing a growing demand in sales for solutions to help our customers improve customer experience like our Real Time Authentication Solution and our Voice of the Customer solution including our customer feedback solution.
 : Identifying customers using voice-based metrics spares the customers the time and the frustration of laboring through what sometimes seems to be endless amount of security questions, and also shorten the average ending time of the call, which results in savings for the organization. For our cloud-based customer feedback solution, we won a large deal with a U.S. based telecom service provider, which has been a performance management customer for few years now. The customer was using an IVR survey solution but was dissatisfied with the response rate and the lack of free text-based insight into customer behavior. They have, therefore, decided at the senior executive level to replace this with our solution in an implementation that includes tens of thousands of agents and 2 million surveys a month. A key driver for choosing our feedback solution was our ability to integrate our solution with their existing performance management system. One of the benefits of our cloud solutions is the ability to provide a very fast implementation and this implementation was completed within weeks from the 5th of August. Since implementation the response rate has already more than doubled and our customer is really pleased with the solution's ability to obtain customer insights. In our financial claim and compliance business we recorded double-digit growth compared to Q1 last year. Significant at that (inaudible) protection alongside the growing and extending market continue to be the key driver for this business. Financial institutions continue to seek for homegrown solutions to commercial software as they realize their internal abilities are insufficient to keep up with the fast evolution of the complex regulatory environment and increasing sophistication of criminals and call bender fraudsters. Moreover, enterprises feel increasing need to consolidate system to get a 360 degree view of the customer, and we offer an enterprise-wide platform on which financial institutions are able to implement and manage the financial crime and compliance solution. A key component of our financial crime and compliance platform is a tool called Risk Case Manager, which can be used across our business lines. The risk case manager is a purely calls enterprise tool which helps organization proactively address risk issues using a single application for risky case in the level of management. With the ability to integrate all the layers from across the organization, branches, ATMs, websites and contact centers, our customers are able to see full picture of high risk activities. We had a particularly strong quarter in active money laundering due to the continuation of the enforcement wave that we've discussed in pervious calls. The market continue to be very active. The financial institutions are pressured to comply with regulations. During the quarter, we won a very large deal for a major financial institution which included our platform and our AML know your customer solution. This institution made a strategic decision to standardize its operation investigation regulatory filing of AML fraud and compliance systems in our platform. Thousands of employees would be using the platform benefiting from better collaboration between the processing systems. Let me move on to our Security business, which has a strong start to 2013 with double digit growth in revenues in Q1. The tragic event in Boston a few weeks ago not only reminded all of us the security threat that's present in our world but also demonstrated the power of technology that enabled the speedy investigation and capture of the criminals of the bombing. What we all witnessed in Boston was the importance of collaboration between the public and private sector in video surveillance for having better security in places. At NICE, we are also seeing our video management customers collaborate in the same manner and the demand to integrate the management of public and private video cameras is increasing. For example, in Q1, we closed an extension deal with an existing Situator municipal customer, which is integrating additional video channel into the system some of which are from private company facilities within the region. In our Cyber Intelligence business, we won a major eight digit deal with an Asian law enforcement agency. The deal includes commutation subscription, cost analysis and featuring of most amounts of confirmation, collected for multiple sources, all within unified monitoring center. These key capabilities will help our customers fight organized crime and prevent serious criminal activities. In summary, we are pleased to report another quarter of profitable growth at NICE and we believe, we are on track to meet our annual expectation. We continue to further penetrate our customer base and win new customers with the most innovative and industrial leading next generation analytics and advance applications. These solutions are helping our customers comply with regulations, prevent fraud, improve customer experience, enhance safety and security, and improved business results. As I mentioned earlier, we announced our new customer engagement analytics platform, which we believe is another example of market leading technology incorporating advanced Big Data capabilities to enable our customer to further operationalize Big Data. The great success of our customer conference, the extending use of our advanced application to a broader user base of managers and operational area outside the contact center, and the positive feedback we're receiving from our customers tell us that we are delivering great value to them, with the right product at the right time. I would like to thank the NICE team for their work in the quarter. I will now turn the call over to Dafna Gruber our CFO. Dafna?
Dafna Gruber: Thank you, Zeevi. I'm pleased to provide you with an analysis of our financial results and business performance for the first quarter of 2013 and our outlook for the second quarter and full year. Revenues for the first quarter were $225 million, up 4.5% from $215 million in Q1 last year. Customer interaction revenues were $138 million, down 2% compared to $140 million in Q1 2012 resulting mainly from the continuous trend of longer booking to revenue cycle. Financial crime and compliance revenues were $34 million, up 14% from $30 million last year. Security revenues were $53 million, up 17% from $45 million in the first quarter of last year. For the first quarter, customer interaction accounted for 62% of total revenues, financial crime and compliance 15%, and security 23%. Looking at the regional breakdown, revenue in America increased 8% from the first quarter of last year to $146 million. Revenue in EMEA decreased 3% to $50 million. And revenues from the Asia-Pacific region increased 3% to $29 million, compared to the first quarter of last year. For the first quarter, the America accounted for 65% of total revenues, EMEA 22%, and APAC 13%. Product revenues in Q1 accounted for 40% of total revenues and maintenance represented 40% of total revenues. Professional services including SaaS and Hosting accounted for the remaining 20%. Gross margin in Q1 was 66.9%, compared to 64.8% in Q1 last year. Operating margin reached 19.4%, up 110 basis points from 18.3% in Q1, 2012. Earnings per share were $0.61 in Q1 representing an increase of 7%, compared to $0.57 in Q1, 2012. First quarter cash flow from operations was $58 million and our total cash and financial investments were approximately $501 million at the end of March 2013. Headcount at the end of March totaled to 3,414 people, compared to 3,399 people at the end of December 2012. Since the beginning of the year and until today, we paid about $14 million to repurchase approximately 395,000 shares as part of our share repurchase plan. You may recall that back in February we announced that the Board of Directors approved a dividend plan under which we intend to pay quarterly cash dividends to holders of ordinary shares and ADS, and that, we expect the initial annual dividend to be $0.64 per share or $0.16 per share quarterly. With the dividend, we're pleased to be able to enhance shareholder return and further optimize our capital structure. We believe that our cash balance, together with our strong cash generation, can support future acquisitions, dividend payment and share repurchases. NICE Board of Director just approved the third dividend payment of $0.16 per share. The record date is May 23rd, and the payment date is June 6th, 2013. Turning to the guidance for the second quarter of 2013, please note that the guidance take into account the share buyback executed so far, but excludes future buybacks that may be executed going forward. We expect second quarter 2013 total revenue to be in the range of $220 million to $230 million and fully diluted earnings per share to be in the range of $0.58 to $0.64. That concludes my comments. I'll now turn the call over to questions, operator.
Operator: Thank you. (Operator Instructions) Our first question will come from the line of Shaul Eyal from Oppenheimer & Co. Please go ahead.
Shaul Eyal - Oppenheimer & Co.: Good quarter considering the environment and the guidance as well. Good start. Couple of quick questions on my end, Dafna this quarter I'm certainly surprised with kind of the cash from operations at $58 million. Should we be looking at that as some sort of kind a quarterly run rate as we start thinking about the remainder of the year?
Dafna Gruber: Not exactly. If you recall in our history, usually the first quarter is very high in cash generation, the following two quarters are slower, and the fourth quarter is stronger. That has been the history. So the $58 million is presently a very good start and we're on track on generating more cash this year compared to last year.
Shaul Eyal - Oppenheimer & Co.: Zeevi, you spoke about the exemplifications and also kind of the deal size that kind of continues to grow. Can you provide us with any color you might there kind of some quantiated whether it's kind of growing, kind of double-digit 20%, 30%, 40%, year-over-year. Any color would be highly appreciated?
Zeevi Bregman: Our advanced applications are growing in a double-digit way and faster than the mature business. And when we look at the areas in which the growth is coming we -- it's coming from mainly from our existing customers. This has been our strategies to go deeper within our customers and actually take advantage of the -- our understanding of the business value that we can provide with World Business Bank and provide them solution that will fit it. Overall, these are larger bills, so the sales cycles are longer, also the revenue cycle are a bit longer, and the value for the customer is longer. So we're -- overall this is a journey and we're pleased with what we see. We see demand in south EMEA obviously highlighted in the street -- the street plan, for example in the areas of compliance, with the holistic solution to address CFPB and the Consumer Protection Act as part of the Dodd-Frank and lot of other solutions like Proactive Compliance around Dodd-Frank and we're looking at solutions that are helping the customer experience like our Fizzback Solution for feedback and the real time authentication, which really reduced the effects of authentication at the beginning of the call that is really intensive and frustrating and also we're seeing demand for security solutions and fraud prevention again because of the demand that are coming within the market.
Shaul Eyal - Oppenheimer & Co.: One quick question if I may, kind of tweak another one. Going back to your discussion about kind of a telephone provider win I think on the expense, so kind of an IVR provider. I know you kind of highlighted that but, does it have to be also with the fact that when we look at IVR about most of them do not currently have any on demand kind of real time type of analytics in that prospect?
Zeevi Bregman: I think this is not related. What we've seen by the way, we've seen some weakness during this quarter with the -- on the IVR side. I believe that there is more of the self service that is moving from IVR to -- self service activities moving from IVR to web and mobile. But I think that when we're looking at our space and what we're doing, we're talking here about feedback solution. So we're doing surveys and pulling customers. And the advantage that we have with our solutions is we're providing a real time solution, it's not zeal and small, usually big space, it's also enable free pics and ability to use free language and also qualitatively data not only quantitative data, and it's also provide the data in real time. Another benefit is ability to provide and because of this reason and because we've a customized survey, which is in the context of the event we're seeing a very high response link. So the combination of the high response link every time value that the survey provides, and the ability to provide not only quantitative but also qualitative data and everything so inside there are many people in the organization, we're seeing a big demand and big value that it can bring to customers with this promotion. In terms of the sheet from IVR activity, we didn't discuss for mail, to our solution this is on the -- this is a small piece.
Operator: Thank you. Our next question is from the line of Paul Coster of JPMorgan. Please go ahead.
Paul Coster - JPMorgan: So Zeevi can you confirm that you're still looking for $1 billion in bookings this year and that's it looks to build a sort of systemically higher than one-to-one at the moment?
Zeevi Bregman: We're -- first I'll confirm we're looking for a booking to cost $1 billion in booking this year and this is our goal. When we look at the book-to-bill, we're book-to-bill for the year is going to be above 1 and what we said in the previous call and we will be consistent about it and we'll not break book-to-bill on a quarterly basis, because of the amount of the seasonality within our booking we believe that this not the right measurement for the business, we can say though that we had a strong booking quarter this quarter.
Paul Coster - JPMorgan: Okay. Is there anything about the bookings activity by region in particular that sort of stretch you, the decline in Europe will come to an end soon?
Zeevi Bregman: Basically, first we had a slight decline in Europe, it's across businesses and I'll not measure Europe this decline Europe as a planned. It's a quarterly event. You've to look at the several volume growth, you've to look at the care, and if you look at several quarters back and you add up the revenues, you'll see that we're going in Europe as well. Sorry, overall, what we're seeing in Europe, in general we don’t see a deterioration in the environment. What we see is a environment that’s getting to be better but we're seeing a stable environment over the past few quarters.
Paul Coster - JPMorgan: Such as that your revenues and cost is improving significantly. Can you give us some sense for instance when you do these seven and eight digit deals now, what kind of timeline it takes to realize that revenue?
Zeevi Bregman: It certainly varies from a deal to deal. There is I think immediate or almost immediate raw deal if you take a few quarters.
Paul Coster - JPMorgan: Okay. And my last question is then it's really source for new investors who are looking at this, but some will suspect by the fact that you and your nearest peer offer dominant in the voice and video space and looking at companies like Oracle and S&P and TRM basin it's a playstation why is that that those companies and not the leaders in this advanced analytics among structured information space. How is that that you're able to defend or dominate this area?
Zeevi Bregman: What we're providing and what is well our quality is coming from is really sounds factual data. And this is where our real, on the analytic side, this is where our value is really coming, and this is a very, it's a more complex problem than analytics of structured data it's actually different than more complex -- it's a problem in more. I think it's also a more interesting problem in terms of the value that we provide because if you look at the human nature people are generating and can be understood will be more based on a unstructured data like video feeds or like say human speech. So we're -- this is a more complicated area and therefore it's difficult to other companies to manipulate into this domain. In addition, we're very focused on the industries and the business and the youth case that we're serving and we're coming and when we're providing our solutions we're providing them with a big domain expertise. So, we can tail off and we provide the end-to-end solution that really aurous the needs of the customer. I'm not sure that some of the companies that you mentioned there is a potential can provide these value.
Operator: Thank you. Our next question is from the line of Daniel Ives with FBR Capital Markets. Please go ahead.
Jim Moore - FBR Capital Markets: Hey guys, this is Jim Moore in for Dan. It sounds like larger deals are coming and just wanted if you can talk anecdotally about the video business with respect to the larger deals and how the pipeline is looking on the video side and if there is anything changing over the next coming quarters?
Zeevi Bregman: What we're seeing is there is a more interest as we highlighted in disgrace in solution that are integrating public video surveillance -- public video surveillance we apply that private and other public video surveillance and the ability to get the video input from a different screens and vandalize them. And this is part of our management capabilities around our platform are providing; there we definitely see a growth and demand in this area.
Jim Moore - FBR Capital Markets: Okay. And then on the Actimize side, it sounds like there's good growth there as well, could you just provide a little color as to the trends and if there's any changes over the last few months?
Zeevi Bregman: First people that are on East Coast should not be surprised by the growth on Actimize. We spoke over the last year that we the booking growth, which is double-digit and we expect that we hit on close double-digit growth in the revenues and indeed this is what we're seeing on the -- for what we had seen on the first quarter I think and what we're seeing there during this quarter. So, I think that this should not be a surprise and we're all reading the same papers and we're also speaking with some customers, but we see the regulatory pressure around banks in the U.S. and by the way also outside the U.S. that is out there in areas like EMEA and FAFSA and also pricing compliance and consumer protection and the other areas that are covered under Dodd-Frank umbrella. So there's a lot of the activities in this area also fraud is something that is constant is now close to all the time there. We're enjoying the unique ability to integrate our capabilities from the contact center with Actimize solution. This is important because we're seeing in order to get to financial engineering and we're seeing more and more foresters that are trying to get to the organization for contact center. So we're the -- they're the touch point so be like where you go difficult challenges would be blocked and protected. So we are enjoying also this our ability to be on both sides of the systems on the Actimize infrastructure and several sides and also on the contact center in terms of sensing and biometric solutions to other stores.
Operator: Thank you. Our next question is from the line of Jonathan Ho from William Blair. Please go ahead.
Jonathan Ho - William Blair: It's probably to understand whether your full guidance assumes a pickup in the macro environment in the second half of the year and also whether you could just give us a sense of what's giving you confidence that may be the second half of the year would be stronger than the first half?
Zeevi Bregman: First our we do not assume any change in the macro environment. Do not assume a deterioration and we don't assume improvement. So our focus is based on the comment the macro environment as we see today. When we look at the -- when we're analyzing our guidance and our focus for the year, we're looking at our we've -- we do see the booking of the background that we've. We do see the pipeline that we have and we see the things that are in the present pipeline and things that are in the funnel. We do see the customer adoption of the solution that we require some upgrades down the road and we look at things that are in the implementation phase and we will reach and will be launched during the year. So overall, when we're analyzing that we're -- we believe that we will be able to meet our guidance and as we indicated in the past our business model is moving to be more backend loaded and we expect the second half and particularly Q4 to be very strong.
Jonathan Ho - William Blair: And just in terms of the gross margin for the quarter it seemed like that it picked up a bit. Just wanted to get a sense of what the main drivers were there?
Dafna Gruber: It's mainly the mix of product, solution, maintenance. This is what drove gross margin up.
Jonathan Ho - William Blair: And then just one final question. There is a reclassification in the statement of cash flows in the deferred and equity senses; just I wonder if you could just walk through what happened there in terms of numbers?
Dafna Gruber: I think we've just opened and provided more information and this is why, we see it separately with the cash flow.
Operator: Thank you. Our next question is from the line of Greg McDowell with JMP Securities. Please go ahead.
Greg McDowell - JMP Securities: My first question that I think back in Q4 you talked about how over of 50% of Q4 bookings came from salary and advanced application. And I was wondering if that was the case again in Q1. And I think you had also talked about some of the incremental revenues coming in at 25% plus operating margin. So I was wondering if you could first comment on that?
Zeevi Bregman: First related to the new booking in the first quarter the amount of -- we said in the first quarter that we anticipated in the first quarter again because of seasonality the number of new bookings that will come from advanced application will be below 50%, and this is the actual what happened. Could you repeat your second half of the question?
Greg McDowell - JMP Securities: Just the 25% operating margins on sort of incremental revenues?
Zeevi Bregman: So, this is a part of what we're. This is part of our plan and our modern goal for 25% leverage on every additional dollar that comes to revenue within the delivering a book.
Greg McDowell - JMP Securities: And then one quick follow-up. And this is may be a question to help new investors looking at the name. But the customer interactions business, you talked about double-digit bookings growth and yet revenue was down year-over-year. So if you could may be explain the dynamics behind the longer bookings to revenue? And at which point will we see sort of a customer actions revenue growth more closely approximate the bookings growth? Thank you.
Zeevi Bregman: Well first of all we take booking; we're focused on things that can be delivered within the coming quarters. So otherwise, we're not record them as booking. Well, when we looked at the customer interactions in general and when we -- we're providing a more sophisticated application. And with this applications the time that it takes to deliver and implement them is typically larger than the time that it takes to deliver the simple solutions or simple outgoing. And therefore, the revenue cycles are larger. In addition, we're moving more to cloud based and hosting solutions, in which the revenues by the business model are being pushed down string. So these two facts in addition to the analyses, which is within our model, calls for slower, start for Q1. Now, when it comes to the yield of the year, I don't think that we should -- that one should write conclusion from a single quarter. And this is not the way that we're running the business. And I advise that you -- either people like you and the investor should look at the trend which are on the running quarters and not in a any particular single quarter. It is proactive business line and it is proactive geography.
Operator: Thank you. The next question is from the line of Jeffrey Kessler from Imperial Capital. Please go ahead.
Jeffrey Kessler - Imperial Capital: In your growing financial and you're growing financial and compliance business, what type of growth are you seeing in the demand for cross border solutions from Worldwide Enterprises, as compared to just internal one single country enterprises?
Zeevi Bregman: So, when we're serving our financial institution customers many of them and in particular the large ones are global organization with facilities across the world. Usually, when they are looking at the domain they have a global operation for the area for financial risk. And there that we're operating that they are looking at solutions that will serve them globally. In addition, if you look at certain regulations like EMEA and FAFSA the regulation is U.S. regulation that they need to comply is global. This is also in some of the Dodd-Frank activity. Earlier in the year, sorry late last year we added a functionality, which is cloud based solution which are addressing specifically the need of organizations to deal with the global reality in which they have to have -- they have a very large organization facilities within for example the U.S. and they will have branch or activity in a small country like Czech Republic. And the solution is we're enabling a centralized monitoring and centralized logic, but we're providing solutions which are hostile based and they are cost effective also to the small place, small countries, and also we enable to address local regulations. So, it will be a combination of the local regulation and the U.S. based ones.
Jeffrey Kessler - Imperial Capital: Is the value proportion for a global solution significant enough for you to demand a higher margin if you're going to be doing something like that?
Zeevi Bregman: When we're operating, we've a different -- our differentiation enable us to look for additional margin. The differentiation that we have is our ability to provide enterprise-wide solution. And this is the -- of course we have at one end we have enterprise-wide solutions and on other end it's all product and not project, its something that is unique and improved the total cost of ownership to our customers. And therefore, we can take premium on the competitive solutions which are not enjoying this functionality. Part of being an enterprise wide solution is our ability to provide cross-border functionality.
Operator: Thank you. The next question is from Matt Hedberg, RBC Capital Markets. Please go ahead.
Matt Hedberg - RBC Capital Markets: With all the new product introductions whether its the proactive glide suite or some of the predictive analytics, you're certainly becoming of a fourth quarter backend loaded story and I can appreciate potentially lengthening. I guess I'm wondering within the first quarter, could you talk about the linearity. Was it more or less backend loaded that you saw? And then potentially from a macro perspective do you think things either improved or sort of stayed more neutral throughout the quarter?
Zeevi Bregman: For a macro environment I think the things were neutral. Throughout the quarter I don't think that were changes. We're seeing more or less stable environment as far as we can judge. At the end we're seeing a small part of the overall market compliance provider itself an indication. When it comes to the quarterly activity, we didn't see -- our quarters are tended to be more backend loaded also due to in the quarter but we didn't see any irregular activity during this quarter compared to other quarters. There was nothing special. The first quarter in general we had some behavior for example in APAC because of the Chinese Year, so it's a special part there in APAC, but it's really something that we are working with for many years and there is nothing specific this year.
Matt Hedberg - RBC Capital Markets: Thanks. And then I guess as a follow-up to that, did you see any deals this quarter outside of a normal 1Q?
Zeevi Bregman: I mean, we have seen deals slip in this quarter from Q1 to Q2. Some of them were closed already. Again this is a bit -- its not different than what we've seen last year.
Matt Hedberg - RBC Capital Markets: One last question. Headcount growth for the year, would you expect that to grow in line, above, below revenue? Just of kind of directionally how do you think about headcount growth for the year?
Zeevi Bregman: I think it will grow in line maybe a bit lower than the revenue growth.
Operator: Thank you. Our next question is from the line of Brian Ruttenbur with CRT. Please go ahead.
Brian Ruttenbur - CRT: Couple of housekeeping, book-to-bill, what was it in the quarter? I didn't hear that.
Dafna Gruber: We are not providing quarterly book-to-bill numbers.
Brian Ruttenbur - CRT: Okay. Had you in the past been covering -- talking of book-to-bill on a quarterly basis?
Dafna Gruber: Yes, but I think six month or two quarter ago we said that because of the change in nature of our business, we would not refer to book-to-bill on a quarterly basis but look at it on a yearly basis. What I can share with you is that our targets for the year remain unchanged and we expect book-to-bill on a yearly basis to be greater than 1.
Brian Ruttenbur - CRT: Okay. And then, because of I think some phone issues, I missed when this was asked, so I apologize. Your short-term investments were down $20 million, what was the reason for that? 
Dafna Gruber: The overall cash investment or the cash reserve is $501 million; it's higher than previous quarter. The separation between cash short-term and long-term investment is made due to decisions on investment and it is something we have up and down all the time.
Brian Ruttenbur - CRT: Okay. And then, finally last question on specific part of your business. Is there a specific region that is your strongest right now and specific region that is your weakest, just trying to understand geographically where your demand weaknesses are?
Zeevi Bregman: I don't think that that there is a particular region that was strong or particular region that was weak. And the business is a bit lumpy. So as I see other way, single we spoke on the call on a very large deal from Asia-Pacific customer. But the overall business is strong, is strong across the board and we're -- there is no particular change within this environment.
Operator: Thank you. Our next question is from the line of Jessie (inaudible) from Octopus. Please go ahead.
Unidentified Analyst: Could you please clarify, you state that billing should cross the $1 billion mark, does this mean that revenue still grow over $1 billion or how can we understand this?
Zeevi Bregman: We didn't say the billing we said the booking. The way that the booking will go along -- we're targeting by the way, this is not -- we are not providing forecast for booking, but we're targeting a booking goal, a booking of more than $1 billion this year. And the way that we usually see that the next year revenues are higher than this year booking.
Operator: We have no further questions in the queue at this time.
Zeevi Bregman: Okay. So thank you everybody for joining us today. And have a nice day.